Operator: Welcome to the HEICO Corporation Third Quarter 2025 Financial Results Call. My name is Samara, and I will be your operator for today's call. Certain statements in this conference call will constitute forward-looking statements, which are subject to risks, uncertainties and contingencies. HEICO's actual results may differ materially from those expressed in or implied by those forward-looking statements. Factors that could cause such differences include the severity, magnitude and duration of public health threats, such as the COVID-19 pandemic; HEICO's liquidity and the amount and timing of cash generation; lower commercial air travel, airline fleet changes or airline purchasing decisions, which could cause lower demand for our goods and services; product specification costs and requirements, which could cause an increase to our cost to complete contracts; governmental and regulatory demands, export policies and restrictions; reductions in defense, space or homeland security spending by U.S. and/or foreign customers or competition from existing and new competitors, which could reduce our sales; our ability to introduce new products and services at profitable pricing levels, which could reduce our sales or sales growth; product development or manufacturing difficulties, which could increase our product development and manufacturing costs and delay sales; cybersecurity events or other disruptions of our information technology systems could adversely affect our business; our ability to make acquisitions, including obtaining any applicable domestic and/or foreign governmental approvals and achieve operating synergies from acquired businesses; customer credit risk, interest, foreign currency exchange and income tax rates; and economic conditions, including the effects of inflation within and outside of the aviation, defense, space, medical, telecommunications and electronics industries, which could negatively impact our cost and revenues. Parties listening to this call are encouraged to review all of HEICO's filings with the Securities and Exchange Commission, including, but not limited to, filings on Form 10-K, Form 10-Q and Form 8-K. We undertake no obligation to publicly update or revise any forward-looking statements whether as a result of new information, future events or otherwise, except to the extent required by applicable law. I now turn the call over to Eric Mendelson, HEICO's Co-Chief Executive Officer.
Eric A. Mendelson: Thank you, Samara, and good morning to everyone on this call. Thank you for joining us, and we welcome you to HEICO's Third Quarter Fiscal '25 Earnings Announcement Teleconference. I'm Eric Mendelson, HEICO's co-CEO. I am joined here this morning by Victor Mendelson, HEICO's Co-CEO; and Carlos Macau, our Executive Vice President and CFO. Before highlighting our third quarter of fiscal '25 record-setting results, I start this call by thanking all of HEICO's team members for their dedication and focus on delivering another outstanding quarter. We continue to experience high growth rates across the majority of our subsidiaries and are humbled by the hard work and commitment of our team members that they bring every day to deliver these excellent quarterly results. Our customers require seamless execution and demand excellence in everything we do. Our people are the only reason we continue to win in the marketplace and generate significant shareholder value. All of our shareholders should thank our team members for everything they do for HEICO and our shareholders. Our record third quarter results reflect robust double-digit organic growth in our core businesses, further enhanced by the momentum from our disciplined acquisition strategy. On behalf of the Board and our executive management team, thank you for another record- breaking quarter. As we look ahead, we see significant opportunities supported by a favorable pro-business environment that encourages innovation, investment and expansion. Our laser focus on growth within the commercial aviation, defense and space markets, combined with the exceptional talent of our team members gives me confidence that HEICO is well positioned to sustain strong momentum and capture additional market share gains across our diverse markets. We remain very optimistic about HEICO's future. In summarizing our third quarter of fiscal '25 record results, we note that consolidated net income increased 30% to a record $177.3 million or $1.26 per diluted share in the third quarter of fiscal '25 and up from $136.6 million or $0.97 per diluted share in the third quarter of fiscal '24. This is quite an achievement of which we are very, very proud. Consolidated operating income and net sales for the third quarter of fiscal '25 represent record results for HEICO, increasing 22% and 16%, respectively, compared to the third quarter of '24. The Flight Support Group set an all-time quarterly operating income and net sales records in the third quarter of fiscal '25, improving 29% and 18%, respectively, over the third quarter of fiscal '24. The increases principally reflect strong 13% organic growth from increased demand across all of its product lines and the impact from our profitable fiscal '25 and '24 acquisitions. The Electronic Technologies Group set an all-time quarterly net sales record in the third quarter of fiscal '25 and improving 10% over the third quarter of fiscal '24. This increase principally reflects improved demand for the majority of its products including double- digit organic net sales growth of other electronics and space products. Cash flow provided by operating activities increased 8% to $231.2 million in the third quarter of fiscal '25, up from $214 million in the third quarter of fiscal '24. For the third quarter of fiscal '25, cash flow provided by operating activities represents 130% of net income. For over 36 years, a core tenet of HEICO's unique business model has been to fund our organic growth with cash generated by operations and not incurred debt to grow organically. This doesn't happen by accident. Our operations are painstakingly designed and managed to generate excess cash that we use to make accretive acquisitions, thereby compounding our growth. I'm proud to report that cash generation remains exceptionally strong at HEICO. Consolidated EBITDA increased 21% to $316.4 million in the third quarter of fiscal '25, up from $261.4 million in the third quarter of fiscal '24. Our net debt-to-EBITDA ratio was 1.9x as of July 31, 2025, down from 2.06x as of October 31, 2024. I would like to highlight that our liquidity improved significantly even after deploying $630 million on acquisitions during the past 9 months. We are very pleased with HEICO's strong cash generation which drives our ability to delever quickly to support future acquisition opportunities. In July '25, we paid our consecutive semiannual cash dividend since 1979, at the rate of $0.12 per share, representing a 9% increase over the prior dividend paid in January of 2025. We continue to be very busy with acquisitions and completed our fifth acquisition of fiscal '25 in the third quarter. In July, our Electronic Technologies Group acquired 100% of the stock of Gables Engineering. Gables designs and manufactures advanced solutions for aerospace platforms, including cockpit displays and other avionics components such as navigation, audio, surveillance and communication panels for a wide range of aircraft. Gables is the third largest acquisition in HEICO's history and we expect Gables to be accretive to earnings within the year following the acquisition. Finally, we take a moment to remember Frank Schwitter. A member of our Board of Directors who passed away recently. Frank was a dear friend and CPA, who served as a Board member since 2006. He was a valued member of the HEICO family with his expertise in financial accounting and reporting having been developed over many decades serving as a partner in the national office of Arthur Anderson. We share our thoughts and prayers with his family and thank them for the many years of service and friendship he provided to our Board. He will be greatly missed. I now turn the call over to Victor Mendelson, HEICO's co-CEO, to discuss the third quarter results of our flight support in Electronic Technologies Groups in greater detail.
Victor H. Mendelson: Thank you, Eric. As I discuss the operating results of our 2 segments, I join you in recognizing the extraordinary contributions of HEICO's team members. Your talent, determination and innovative spirit have turned challenging objectives into real success. On behalf of our shareholders, thank you for the energy and collaboration that not only drive our performance but also make these accomplishments especially rewarding. The Flight Support Group's net sales increased 18% to a record $802.7 million in the third quarter of fiscal '25 up from $681.6 million in the third quarter of fiscal '24. The net sales increase in the third quarter of fiscal '25 reflects strong organic growth of 13% and the impact from our profitable fiscal '25 and '24 acquisitions. The organic net sales growth reflects increased demand across all of our product lines. The Wencor and legacy HEICO operations continue to exceed our expectations. And obviously, this was an excellent combination, which was completed around 2 years ago. Our customers continue to find great value in our larger aftermarket product offerings for the aerospace parts and component repair and overall needs, which has also translated into excellent growth and opportunities and success for HEICO. The Flight Support Group's defense business continues to present an excellent opportunity, especially as the current U.S. presidential administration prioritize defense and cost efficiency. HEICO is well positioned to support these efforts by providing lower cost alternative aircraft replacement parts, helping the government tax payers save money while expanding our market reach. Our missile defense manufacturing business is experiencing significant growth driven by increased demand in both the U.S. and our allies. With the substantial backlog of defense missile defense orders and ongoing shortages, we anticipate meaningful expansion from this pipeline, reinforcing our commitment to delivering cost-effective solutions with industry best quality. The Flight Support Group's operating income increased 29% to a record $198.3 million in the third quarter of fiscal '25, up from $153.6 million in the third quarter of fiscal '24. The operating income increase principally reflects the previously mentioned net sales growth and improved gross profit margin and SG&A expense efficiencies realized from the net sales growth. The improved gross profit margin principally reflects higher net sales within our repair and overhaul parts and services and specialty product lines. The Flight Support Group's operating margin improved to 24.7% in the third quarter of fiscal '25, up from 22.5% in the third quarter of fiscal '24. The operating margin increase principally reflects the previously mentioned improved gross profit margin and an impact from a decrease in SG&A expenses as a percentage of net sales, mainly reflecting the previously mentioned SG&A expense efficiencies. Given that acquisition-related intangible amortization expense consumed approximately 200 basis points of our operating margin in the third quarter of fiscal '25, the FSG's cash margin before amortization, or EBITA, was approximately 27.3%, which has been consistently excellent and is 210 basis points higher than the comparable FSG cash margin of 25.2% in the third quarter of fiscal '24. And we know that we run the operations internally and evaluate our businesses based on EBITA, which to us is a real cash number, not one that just takes account for a made up amortization number required by accounting regulations. I'm very happy with the continued expansion of our cash margin, and we believe our efficient and decentralized operating structure has permitted us to expand these margins as we simultaneously delight our customers with cost savings and lightning quick turnaround. For the Electronic Technologies Group, our net sales increased 10% to a record $355.9 million in the third quarter of fiscal '25 up from $322.1 million in the third quarter of fiscal '24. The net sales increase reflects strong organic growth of 7% and the impact from our fiscal '25 and '24 acquisitions. The organic net sales growth is mainly attributable to increase demand for our other electronics, defense and space products. The ETG's defense organic net sales increased by over 6% during the third quarter of fiscal '25 and are anticipated to continue steady growth during the remainder of the fiscal year, as we, again, have significant order volume and a record backlog. The ETG's other electronics organic net sales increased 16% during the quarter, continuing the trend from the previous quarter, increase in organic growth after following multiple quarters of lower demand, due in part to inventory destocking and our customers for high-end industrial and electronic components. We're optimistic for continued growth going forward. The Electronic Technologies Group's operating income increased 7% to $81 million in the third quarter of fiscal '25, up from $75.8 million in the third quarter of fiscal '24, the operating income increase principally reflects the previously mentioned net sales growth, partially offset by an increase in performance-based compensation expenses. The Electronic Technology Group's operating margin was 22.8% in the third quarter of fiscal '25 as compared to 23.5% in the third quarter of fiscal '24. The operating margin was sequentially consistent with the second quarter of fiscal '25 as both periods had a similar net sales mix and growth. Lower operating margin compared to the third quarter of fiscal '24 principally reflects an increase in SG&A expenses as a percentage of net sales, mainly driven by higher performance-based compensation expense. Very importantly, as we talked about with the Flight Support Group, before acquisition-related intangibles amortization expense, our operating margin was 26.6% as intangibles consumed around 380 basis points of our operating margin. Again, this is how we judge our businesses as that most closely correlates to cash. On a true operating basis, these are excellent margins, and we are very, very pleased with them. I turn the call back over to Eric Mendelson.
Eric A. Mendelson: Thank you, Victor. As we look ahead, we remain confident in achieving net sales growth across both the FSG and ETG segments, driven by continued organic demand for most of our products. Additionally, we aim to accelerate growth through our recently completed acquisitions while capitalizing on new acquisition opportunities. Our disciplined financial strategy continues to focus on maximizing long-term shareholder value through a balanced approach of strategic acquisitions and strong organic growth initiatives aimed at gaining market share while maintaining a strong financial position in preserving flexibility. Acquisition activity remains very strong across both operating segments with a solid pipeline of opportunities under review. Our focus is on identifying businesses that complement HEICO's existing operations and strengthen our strategic position. True to our disciplined philosophy, we pursue only those transactions that are prudent, accretive and capable of delivering lasting value to our shareholders. Thank you very much for attending this call. Those were the prepared remarks. And now I'd like to ask Samara to please open up the floor for questions.
Operator: [Operator Instructions] And we'll take our first question from Larry Solow with CJS Securities.
Unidentified Analyst: It's [Pete Lukas] for Larry. Congrats on another great quarter. Just wondering in the ETG segment, if you could give us a little more color on how the Gables acquisition is performing relative to your expectations backing into it, it seems to be kind of in line with your historical EBITDA multiples? And then in terms of your current leverage, how does that set you up? I know you mentioned the pipeline for M&A, but are you comfortable if something were to come up in the short term?
Victor H. Mendelson: Thank you. Those are good questions. This is Victor. So we've closed on the acquisition about a month ago. So it's early days. But so far, as we say, so good, it's doing almost exactly as we expected. But I will caution I don't make a trend out of 1 month. But so far, we're very, very happy with and how it's doing and pleased with the acquisition. And in terms of the cost of the acquisition, we can easily handle many more acquisitions, of course, depending on size both on our existing line of credit and I think what we would very, very easily raise beyond that if we needed to. But we continue to have excellent capacity for acquisitions.
Unidentified Analyst: Very helpful. And just last 1 for me. It seems you saw a benefit from the tax rate this quarter due to R&D tax credits. Is that lower rate sustainable? And is that driven by the big beautiful bill? And do you see any other benefits from that build that we should think about?
Carlos L. Macau: Yes, this is Carlos. The only benefit we saw in the quarter really related to cash. As you may know, the full depreciation of equipment that we buy that qualifies, they retro that back to January 25. So it helped alleviate some of our third quarter tax payments when the bill was passed. But I think going forward, for us, it's mostly a cash benefit. We should see a little benefit from some of the changes to foreign, the FDII regulations that came out. I think overall, our rate it was a little -- it was around 18.9% for the quarter. And I think that going forward, if we're thinking about a 19% to 20% rate, that's probably -- that's probably a good effective annual rate for HEICO for the year.
Operator: And our next question comes from Tony Bancroft with Gabelli Funds.
George Anthony Bancroft: Congratulations gentlemen, very nice quarter. Just you were talking about sort of about missile defense a little bit. Would you maybe expound on that and maybe also talk about potential M&A in that space. It just seems like there's just so much going on with missile defense, obviously, with Golden Dome and just with all the Kinetic war going on right now. Maybe you could talk a little bit more about that.
Victor H. Mendelson: Yes. So Tony, this is Victor. Missile defense has been a part of our business actually for many years, just about since we shortly after we started the ETG. And we are seeing opportunities. In fact, we are seeing some orders. I wouldn't call it yet major needle movers for things related to Golden Dome, which as you know, incorporates some existing technologies and products into something that sort of, I'll say, layers on top. So we continue to see orders from what we've been doing and getting orders on new products in addition to where we make products that are used for foreign missile defense as well, basically U.S. products that are then sold on to -- from the U.S. prime on to foreign countries, obviously, U.S. allies. So it remains a great opportunity for us. It's something we've been doing for a long time. And I will emphasize, we've been doing it in what you would people tend to consider legacy defense as well as new tech defense. And I think that's very, very important. We've always been very careful about serving all the markets and not just playing to larger customers.
Eric A. Mendelson: And also, Tony, just to add within the FSG, we also have a very big position in missile defense and are a leading manufacturer of rocket nozzles and other missile applications. And the market is very strong. We do look at additional acquisitions. We have a lot of organic growth capability in that area. And so I think both are going to continue to be very exciting for us.
Operator: We'll take our next question from Sheila Kahyaoglu with Jefferies.
Sheila Karin Kahyaoglu: Maybe if I could ask just going back to FSG, if we could just parse out the 13% organic growth by subsegment and by market. And I know there's been a lot of talk about engine versus airframe. Any context there?
Eric A. Mendelson: So Carlos, do you want to do the...
Carlos L. Macau: Yes, sure. So Sheila, we had a very interesting quarter. The Parts business as usual, grew in the low -- it was in the low teens this quarter. It's pretty much similar to what we saw last quarter, where we saw some really nice -- some growth was in the repair and overhaul and Specialty Products group. Repair and overhaul was up in the mid-teens, and that was -- that was driven by a really nice mix during the quarter, which elevated our gross margin a little bit. And we're -- it's nice to see that. And as you recall, the repair business it's pretty much a parts play. It's a component repair. As you know, we don't have hangers and we don't repair airplanes, but we do components and a lot of that work is a channel for us to really filter a lot of our PMA parts through. So that was a nice surprise during the quarter. And as Eric just mentioned, with Specialty Products, that growth was in the low double digits, and that's been driven principally by our defense business within the Specialty Products Group. Although I would point out that now that we've seen some of the airframers getting a little bit better of a cadence, I do expect our commercial aerospace OEM work within specialty products to pick up a little bit or be a little more steady than it had been in the past. So Eric, do you want to...
Eric A. Mendelson: Yes. And then also, Sheila, to add, you asked about engine versus non-engine, as you know, we are a majority non-engine. And our -- it's hard to calculate because the businesses don't capture the information necessarily the same way. But I would say that the -- our engine portion of our aftermarket business is probably around 25%, roughly a quarter. That gives you a -- HEICO historically had been had a higher percentage of engine but we've made a number of acquisitions over the last number of years, the largest of which was Wencor and the majority of those acquisitions has been non-engine, so that's why our percentage of engine is probably roughly in the 1.75 area of the aftermarket.
Sheila Karin Kahyaoglu: Got it. And then maybe just given news out this morning with the Pentagon thinking that taking equity stakes in defense contractors, any update on your end on PMA into the DoD?
Eric A. Mendelson: Yes. That continues to be an area where we think the Pentagon can save a lot of money. And the Pentagon is looking at a lot of things. They're trying to implement a lot of things right now, but we're very bullish on that. So we think that, that will be continued opportunity for us. There's no reason why they shouldn't get those savings the same way as the commercial aftermarket and business aftermarket does. So we're -- we think that there's very good potential.
Operator: We'll take our question from Peter Arment with Baird.
Peter J. Arment: Carlos, next quarter. Eric, talking about FSG. You talked about some market share, and I know Carlos just went through kind of what the drivers were on MRO and some of the repairs and parts. But where are you seeing the opportunities in market share? Is this still benefiting from kind of the Wencor synergies? Or how should we think about that? Or is it just new parts that you're developing and introducing?
Eric A. Mendelson: Yes. I think it's across the board. Yes, there are synergies with one core to answer that part of your question. But we have very, very strong organic growth opportunities across the entire business. So specifically, if you look at PMA and repair, I just did the strategic annual sales meeting reviews, I participated in and saw by subsidiary, the focus that they've got on developing new products, whether it's PMA or repair and it is -- frankly, blew me away. We are -- have got such technical capability, such customer support and demand that I'm really excited about the opportunities here. So I really see it very broad-based. And I think if you look at our numbers, the organic growth of 13%, with the fact that our aftermarket business is only roughly 25% engine. I think we -- I was surprised after seeing where other companies report it, our -- 75% of our business is non-engine and we turned in 13% organic growth. I mean, frankly, I don't know how our guys did this. it's phenomenal. And so I think that really speaks to the competitive advantage that we have, where we don't run a single big integrated enterprise. We run dedicated targeted businesses that are really -- excuse me, using the expression, but are killers in what they do. And they are really good, really knowledgeable. They know all the details and the organic growth pipeline is just tremendous. And I think when you see 75% of our business being airframe, and we're up 13% organic growth. I think that speaks to the depth and the breadth of our product line and capabilities.
Peter J. Arment: Yes. That's super helpful color there. Carlos, just on margins. I think, was a really strong quarter for incremental margins. How do we think about this going forward? Is it just more mix driven than you -- for this quarter? Or do you think that margins like this can be sustained?
Carlos L. Macau: So these guys keep making [liers] at to me. They're so good at what they do. I had to be candid with you. The margin that we posted this quarter exceeded my expectations. Is it a sustainable? Look, I hope so. I still think that mix drove some of the growth in that margin, but it wasn't the super majority of the margin. I mean our gross margin was up a couple of points -- and a lot of that was driven by some of the mix. And I'd love to see that continue, but mix is what it is, right? So I think if I had to project the segment, I do expect now that we're somewhere in the 24s. I had previously thought 23% to 24% was our range. But this year, the guys have just they've outperformed, and they've exceeded my expectations. So some more to come on that. I mean I wouldn't project out a model or forecast at 25% margins just yet. I think you should let us bank some a few quarters under our belt to see how this plays out. But if you are modeling, if you assume around 24%, you're probably in a good ZIP code, 24% OI margins.
Operator: Take our next question from Noah Poponak with Goldman Sachs.
Noah Poponak: Maybe just staying with Carlos, does FSG have seasonality in the fourth quarter, up or down sequentially?
Carlos L. Macau: Typically, if you look back over time, Noah, the fourth quarter is typically our strongest quarter in the FSG. So yes, seasonality, I wouldn't call it seasonality, but what we do tend to see in the revenue side is our low point is typically Q1 and then it slowly builds throughout the year. So that's kind of been our trajectory.
Noah Poponak: Okay. So we can marry that with kind of how the incrementals have played out and that will make the year of '24 and then your point, previously, is then you can expand a little bit from there next year with or without normal incremental.
Carlos L. Macau: Yes. I mean I would think, as we've said in the past, Noah, we do expect -- absent big mix swings within the FSG, we do expect the normal cadence of 20, 30 bps improvement. A lot of that is just leverage on our SG&A spend. Those are the kind of things that we sort of count on and look to achieve. Things like this quarter where you can't control mix. And when we have good mix quarters in particular, like Eric pointed out, with the growth in repair and overhaul that that's hard to predict in any one given quarter. So I wouldn't take almost 25% operating margin and sort of parlay that into the next future quarters. I mentioned to the other analysts -- let's see how the next couple of quarters play out before we start getting into that ZIP code. You could probably count at 24% and let's see where we're going from there.
Noah Poponak: Yes, that makes sense. Maybe you could similarly speak to your -- how you're thinking about ETG, which I know you've explained why that's a little bit more volatile quarter-to-quarter. It was off in the first quarter, down in the second and third, usually has some stronger seasonality in the fourth quarter. Do you expect that? And what's your latest thinking of the range?
Carlos L. Macau: Yes. So look, I was pleased with the ETG's performance this quarter. I think I've mentioned to you and other folks I've spoken to that the third quarter, to me, always felt like a repeat of Q2. It looked that way in our forecast. And the margin sequentially was the same. I expect that segment on any given Sunday is going to run between 22% and 24% operating margin, and we sort of split it right down the middle of the gold post this quarter. So from my perspective, this is kind of the area you can count on. The numbers will move up and down from there, and it will be dependent on mix. I think volume-wise, similar to the FSG as we continue to grow that base of business, we will see some operating leverage in the expenses. But no, I think from a profitability standpoint on a go-forward perspective, not much has changed, in my view, I think that 22% to 24% range still holds true.
Noah Poponak: Okay. You guys say Gables was your third largest ever acquisition? And if so, is that an enterprise value? Or is that a revenue or EBITDA? And can you give us any sense for the revenue and EBITDA?
Victor H. Mendelson: Sure. So that was on enterprise value -- purchase price, purchase consideration. And I don't know that we're breaking out other numbers, Carlos, I'm going to...
Carlos L. Macau: No, we're not. So look, you'll see it -- we're going to -- in the 10-K, you'll see the cumulative acquisitions for the year. Gables on its own doesn't really cross any materiality threshold, so we won't be breaking out their specific numbers. But you'll be able to tell -- I mean, look, it was a big acquisition we had in the quarter. You'll be able to see in our cash flow is what we paid for it. It's no big secret. But as far as the numbers go, we've gotten so big now that some of these acquisitions, even though they are large from our historical standpoint to our numbers aren't significant or material to the overall picture. So we don't give a lot of details in that regard.
Victor H. Mendelson: Yes, this is Victor. I will note that, that acquisition is a growing company. It's a growing business. There's a lot of new stuff, new programs, new things that they've gotten on which are quite significant to it. So we expect that to be a nice growth story internally as it unfolds over the next few years. It's a major motivator for us. It wasn't just -- sometimes we -- acquisition at a good price. This is -- it's a great business, but I think we bought it more for the growth than just where it is right now.
Operator: We'll take our next question from Ken Herbert with RBC Capital.
Kenneth George Herbert: Maybe, Eric, just start. As you look at the -- I think this third quarter, you were up against some of your more challenging comps in terms of FSG organic growth. Can you comment specifically within FSG on the commercial side with your airline customers, has anything changed in the third quarter in the pricing dynamic or specifically your outlook for airline inventory levels as you move into the fiscal '26? Are you getting as good a pricing as you've gotten in prior quarters? And is there any risk on the inventory side at airlines that you'd call out in the next few quarters?
Eric A. Mendelson: Got it. So to take the first part of your question, with the 13% organic growth, you're right. I mean it's great numbers, especially considering that it was on top of 15% organic growth a year ago and 19% organic growth before -- in 2023. So I'm very happy with the sustained organic growth. We are getting pricing. But again, it is commensurate with our cost increases. So our philosophy always has been and our customers understand nobody wants a price increase. But we must pass along our price increases -- our cost increases in order to be a viable, sustainable business. And so we have been able to do that. As far as -- I think you're probably also -- you're asking about inventory levels and what's going on at the customers. And it's really a mixed message. There are, as you know, when we all went through the pandemic, there were some significant shortages that occurred afterwards. And there was a certain amount of overordering in particular areas. And we are seeing some destocking in some areas yet we continue to see huge shortages in others. So therefore, the way I sort of look at it on the HEICO portfolio is they net each other out. And we -- overall, we are not seeing destocking. But that is -- again, there are pockets of destocking in pockets of customers just clamoring and can't get enough because the supply chain is just too thin for what they need. So I would sort of characterize it that way.
Kenneth George Herbert: That's helpful, Eric. And on the destocking comment, is there any more granularity you could provide on that either with reference to your engine versus non-engine exposure or any other parts of the aftermarket, maybe specifically where you're seeing more inventory pressure from your customers or destocking?
Eric A. Mendelson: Yes. I would say I think in the areas of destocking are probably less on the engine side, there are some and are probably slightly greater on the non-engine side. But then as I said, again, for us, it sort of all nets itself out, and we don't see a destocking phenomenon on our parts on average across the board. We continue to see extremely strong demand, a tremendous demand. And frankly, sometimes it's a little hard for me to understand and to parse out where the market is growing versus where our market is going. Our people are very focused on growing organically and gaining market share, and they do that in, of course, the PMA and repair but they also do that in the distribution. And I really believe that HEICO has increased market share over in the distribution side and frankly, is so good through our distribution businesses in selling our principles product that it can hide what can be going on in the marketplace because our folks are so good at bringing on additional principles and making sure that we operate with a small company mindset where we get very high market share, and we don't drop the ball. We don't -- at HEICO, there's never an excuse that, "Oh, that fell between the cracks" that just doesn't happen. And our distribution businesses are very focused at picking up all of the sales that they possibly can. So I think that also could be a reason why we don't see destocking because our folks are just out there picking up every single thing they can, and I think that's somewhat uncharacteristic of the industry.
Operator: And we'll take our next question from Jonathan Siegmann with Stifel.
Jonathan Siegmann: Eric, Victor and Carlos. Could you maybe comment a little bit on how Europe is trending. The company has got a larger exposure there with the acquisitions? Just are you seeing any impact from the headlines of stronger defense spending there? And how is the business faring?
Victor H. Mendelson: Sure. John, this is Victor. So Europe is doing quite well for us. It's been a success story. As you know, we expanded in Europe through what was then, I guess, what still is our second largest acquisition, Exxelia, which has done very well, and in part because of defense. That has really shined for them and for us. And then other defense sales, including in the Flight Support Group on missile defense, which Eric mentioned a little bit earlier, as well as sales from our other businesses, by the way, that we've owned in Europe for much longer and some U.S. based. So right now, that's good for us. Look, we are also mindful of nationalism issues and things like that. So we understand where the limits might be in U.S.-based business is selling into Europe as we get a little further out to the future, hence, our appetite for acquisitions on the continent.
Eric A. Mendelson: And also I can tell you as far as the flight support area, we're doing extremely well with our customers over in Europe, whether it's PMA, repair or distribution, and in particular, our distribution businesses have very large European network. We've got many, many people on the ground over in Europe focused on distribution to hundreds of people. And so we -- I think our market share is very good, and that remains a critical and important market for us, and it's doing very well.
Jonathan Siegmann: Great to hear. And with -- in this favorable environment, are there new opportunities to organically invest -- or should we expect just acquisitions being the primary use of cash?
Victor H. Mendelson: I think it's both. We have been expanding in Europe, both our footprint. We just completed. I still consider the U.K. part of Europe, although it's not EU. And we just completed a new facility in the U.K. and one of our businesses. We're starting in another outside of Paris and another business as well as some capital improvements, facility improvements and additions in other places in Europe. So I would expect it to be both organic and acquired.
Eric A. Mendelson: And Jonathan, as I mentioned in the beginning of my prepared remarks, our cash flow remains very strong. So I think one of the unique things is that we're able to grow in all geographies and also in Europe, and still generate cash from that region that we're able to use in acquisitions. So we're able to grow organically. We don't have to tie up all sorts of capital in order to grow organically, and we can actually take additional cash that comes out of the businesses and use it for acquisitions. And that's really what creates this whole compounding effect at HEICO.
Operator: And we'll take our next question from Ron Epstein with Bank of America.
Ronald Jay Epstein: Maybe just a quick question on capacity. With all the growth you're seeing across both your commercial businesses and your defense businesses, is there any way where you just kind of squeezed on capacity?
Eric A. Mendelson: Yes, there are a number of areas. There are a number of facilities that we've got to expand. It is still hard to hire people in certain geographies, although that is getting easier. I think AI and what's going on in the economy is helping in that area. But overall, I would say we're well -- we're very well positioned. We've made the investments to be able to handle future growth. And I think the other unique thing in HEICO is we haven't squeezed the fruit in terms of operating at our various facilities in excess of their ability. So we've got plenty of capacity to be able to continue to grow and expand. So I think we're good in that area. We're always very mindful of that.
Carlos L. Macau: I could use a few more deaths from my accountants. But other than that, I think you're right.
Ronald Jay Epstein: Got you. And then how are your supply chain is doing, right? I mean, the suppliers to you maybe on raw materials and other things?
Eric A. Mendelson: Yes. The -- in general, there -- things are much improved. There are still some -- there are a number of areas of continued shortage and where we've got parts on backlog, and we're dying to get parts in our sales could be considerably higher if we had those parts. So that still remains a challenge, but there's no question that the amount has gone down significantly. One of the other things that we is we do a tremendous amount of incoming inspection at HEICO. And we don't just go dock the stock. We instead inspect the parts, and we've got a very robust inspection process. And I can tell you that 1.5 years ago, 2 years ago, the backlog in incoming inspection was quite large. And our folks have done a great job in working that down. And I think that speaks to the capacity issues, adding people, adding facilities to be able to get all this stuff through. So we're -- we've made very good progress in that area.
Carlos L. Macau: Ron, I would say -- this is Carlos. I was just going to add to that. I do think I'm a big believer in this. While administratively, it's a little challenging, we don't have centralized purchasing. The ability for our -- we probably have 100 supply chains and the ability for our guys to bob and weave and negotiate and beg and whatever they need to do to get product in times where we've experienced shortages, I think it allows us to be a lot more flexible and meet our customers' needs. It's probably a more expensive process at the end of the day. I mean, I think it's less efficient than centralized processing. But the truth of the matter is, from a customer perspective, as to Eric's point, we don't tend to run out of things because our guys are able to negotiate locally for raw materials and supplies. And I think that does give us a competitive advantage.
Ronald Jay Epstein: Got it. Got it. And have you -- I mean, Carlos, if you guys had to keep a little more inventory around just kind of smooth any gaps?
Carlos L. Macau: So we've always given our subsidiary sort of the green light to make sure they have what they need for their customers. I mean, candidly, a few years ago, post-COVID, it got a little lot of hand in my judgment. I think we invested a little too much in inventory. What you've seen, and you saw it in our cash flow statement probably was our investment inventory has come down. The ETG candidly has done an excellent job this year on managing inventory. They had very little use of working capital the first 9 months of the year as it relates to investment in inventory. FSG's investment in inventory has been commensurate with our organic growth. So I think the situation on the inventory side for us this year is pretty positive.
Operator: And we'll take our next question from Gavin Parsons with UBS.
Gavin Eric Parsons: What would you say is the average price gap now between one of your PMA parts on the OEM part?
Eric A. Mendelson: Yes. That's really a hard number to estimate. I think that if you were to look across the entire business, it's -- it, of course, depends on how long somebody has been buying a product because if a customer has been buying a product for a very long time and has it on contract, then we give them some form of price protection. Our -- I don't -- I can't tell you what our average is. I can take a guess, but I can tell you that I would say the range is from a 20% discount on the low end and on parts where customers have been buying them for a long time, and we've been able to control our cost, it could be as high as the 70% discount. So if you want to say probably on average, we're probably from 1/3 to 40% below the OEM price, I would say, something like that. But I don't have a number across the board. The other thing is, of course, in our repair business, we have a lot of proprietary repairs which save our customers considerable dollars. And there, the savings can be easily north of 50%.
Gavin Eric Parsons: That's really helpful. And maybe this is a range question, too, but anything that you could share on what your average market share is or customer wallet share is across the portfolio?
Eric A. Mendelson: We're careful over on the PMA side. We never want to take a majority market share in any particular part that we go after. It would be hard to come up with that number, depending on what the denominator is. But I do believe that there is still plenty of, if you will, unsold potential. So I'm very confident of our continued growth and market penetration. Thanks, Gavin.
Operator: I'll take our next question from Pete Skibitski with Alembic Global.
Peter John Skibitski: I just want to circle -- I just want to circle back to the Gables deal just because it seems like you guys have made a number of avionics acquisitions at this point. And so I just wonder if you could speak to the strategy if they're just kind of one-off deals? Or is there a deeper strategy there in terms of maybe moving up the value chain in the commercial OE world or just maybe these deals are mostly aftermarket. I'm not sure, but I was wondering if you could speak to the strategy after a number of avionics deals.
Victor H. Mendelson: Sure. Sure. So the answer is we've been active in avionics and cockpit electronics actually since 1999, I think, when we made our first 2 acquisitions in this space, one was in our repair and overhaul when we started with an acquisition called Air Radio and Instrument. And at the same time, radiant power business with emergency backup power supplies and some other things and panels that are used in cockpit. So it's always been an attractive sector for us. We've expanded in that over the years. In 2001 with another acquisition and then beyond that with a series of others, mostly in repair and overhaul, but also adding other things like emergency locator transmitters which are related and panels and displays over the years. So it's an attractive area where we've been able to expand somewhat opportunistically. We're not just -- I wouldn't say we're looking to rise in the food chain. That is not our objective. We're really looking to go where there are excellent opportunities and excellent both OEM opportunities as well as aftermarket. Aftermarket is a big part, of course, of the strategy. And in the case of Gables engineering, it is, as we talked about in the press release, a storied company founded in 1946, which had a wealth of suitors. I mean many, many, many people wanted to buy this company would have loved to have acquired it. But ultimately, we had established a relationship over a fair number of years also being a local company here in South Florida, located near a number of our other facilities, including our offices where we're sitting right now. And so the opportunity presented itself, they were ready to do something. But most importantly, they wanted a good home for the business. They wouldn't sell it to just anyone. They did select us out of many other opportunities, and it wasn't just based on economics. It was really based on what they thought we would do with the business, how we could grow it and that we would be a great steward. So the answer to your question is it's a combination of things, which is very typical of our acquisitions that is very often the case. We may target something but we may not be able to make acquisitions in it either affordably or sensibly and that's how we've grown the business. We don't just stop there and say, okay, we can't get what we want on a path on a product road map. We're going to look beyond that. We're going to take adjacencies and move. And I think that's been a big part of our success is our willingness and ability to bob and weave over the years. So we're very happy to have that acquisition, again, being a very unique company in the industry. In fact, I'll just add that their terms are like Kleenex is sort of the generic term or Xerox people refer to panels and cockpits as Gable's panels. I mean that is a term in the industry. So it's a really special business.
Peter John Skibitski: That's great. Yes, very helpful. And just, Victor, and all these deals that you've done in the avionics world, you continue to run them separately. You're not kind of integrating them into one big avionics company. Is that right?
Victor H. Mendelson: Yes. We're not integrating them into one large avionics company. However, the businesses do cooperate. And I think that's where HEICO has been particularly successful over the decades is being able to get what I call -- we call soft synergies where they cooperate going to customers for new programs, they cooperate technically, they cooperate on production, quality and others. They will use other HEICO companies as suppliers, which is very common and increasingly common. And of course, a major, major benefit has been and continues to be distribution. We have an amazing distribution business led by some really remarkable people who have built that business over time, really absolutely stunning and a unique distribution business, which I don't know if Eric cares to comment on. But over the years, we have put a lot of distribution with that business. And I think that's been a big part of our success in the cockpit and avionics and electronic space.
Eric A. Mendelson: Yes. I would agree, Pete, that the distribution has been very key to making a number of these acquisitions more accretive and significantly more successful because we do have a unique position with our customers we're able to increase our market share and do exceptionally well and I think provide a very, very strong outlet. So that's been a big key. To your question as to whether there's a broader strategy? HEICO started out life as a JT8D engine parts manufacturer, and then we got into other engines and components and as time has gotten on into structures and avionics. And we're looking to continue to build out our capabilities, yet leave them very entrepreneurial. So everybody is very much focused on their unique technology. And our thought is if we're very good at the details that there'll be a very good solution. But we do have, as you pointed out, in Avionics, we did acquire Gables. We acquired some wonderful Honeywell product lines and display units and aircraft information management systems. We bought Millennium avionics. I mean we do have a very, very strong avionics business within HEICO.
Victor H. Mendelson: And that's been built over a long period of time. Something we have a lot of experience in.
Operator: And we'll take our next question from Scott Mikus with Melius Research.
Scott Stephen Mikus: Eric, Victor, Carlos, nice results. Eric, I have a quick question on the organic investment opportunities, particularly in the PMA business. When you're evaluating what parts to pursue, how do you form that business case? Are you looking for a payback over a year or 2? Or does the part eventually you have to be able to generate, say, $3 million plus in revenue with accretive margins to make it worthwhile? Just how do you think about evaluating that process?
Eric A. Mendelson: I mean we look at a lot of things. We look at how similar it is to something that we've done before, how much the customer wants it, what the payback looks like, what the investment is, how quickly we can get it from the vendor. I mean there's all of that stuff put together. And then basically, that goes into an IRR analysis, and we've got -- we evaluate that because, obviously, that's important. And sort of pull it all together. So I would say it's sort of a complex process. But we want to continue to develop as many parts as we possibly can. We plan on being everywhere. So we tend not to exclude things.
Scott Stephen Mikus: Okay. And then thinking of the margins at FSG, they're very good again. Is there still more margin expansion opportunity from in- sourcing more work that Wencor had previously used build-to-print shops for.
Eric A. Mendelson: The answer is yes. I think that there is additional opportunity for the Wencor companies to continue to grow with the other hydro companies. As far as resourcing product that's already made by an existing vendor, we do have the capability to do that, and we have done that, but that's probably not our preference. Our preference would be to be loyal to our vendors and give our other family companies, the opportunity to bid on new product going forward. And so I think that's more of the -- that's more of the focus. As far as the margin, of course, in the third quarter, FSG was 24.7% operating margin, which, frankly, is beyond any number I thought it could be. The thing which I think we're even more impressed with is that our EBITA margin was 27.3% which is really more than we ever thought that could be. And that's done while we continue to deliver great value to our customers, and we don't take advantage of them. So I you would have asked me 10 years ago when we were roughly 10% below this number in that area. If we could ever get to this number, I would have told you not in the foreseeable future, not something that I'm really thinking about. But we just put one foot in front of the other and work hard every day, and the numbers don't lie and they are what they are. So I think that there is additional in- sourcing opportunity, and we'll just sort of have to see how that plays out.
Operator: And we'll take our next question from Kristine Liwag with Morgan Stanley.
Kristine T. Liwag: One Eric, Victor and Carlos, can you talk about the supply chain and it sounds like the [Technical Difficulty]
Eric A. Mendelson: Kristine, I think, unfortunately, your connection, can you repeat that? You may have to call back in if the connection is not good. I'm sorry, we can't hear you. If you call back in, we'll get to your question very quickly.
Operator: And in the meantime, we'll take the next question from Gautam Khanna TD Cowen.
Gautam J. Khanna: Excellent. I was curious on the -- Carlos, you made that comment about FSG profit rates kind of exceeding even your expectations. And mix is a part of it. But I'm curious, has the profitability of the various product lines themselves just increased aftermarket parts, repair, et cetera. Have you seen an increase in profitability just in the baseline PMA business or the repair business?
Carlos L. Macau: I would say that -- yes. Look, I would say I highlighted repair because it has -- it did have a positive impact on the quarter, and it was due to mix. And honestly, with the repair business, you kind of eat what you kill every week. And so it's very difficult to predict what we're going to repair next quarter, by example. I mean you get RFPs to do jobs. And what we have seen in the repair business is the one thing that is helpful to profitability is the PMA friendly side of those repairs. So we've had a nice -- we had a nice quarter where there's a lot of PMA friendly repairs that we did. Our guys to Eric's point, continue to develop new DER repairs every day. And so I think as that -- if that continues, it does have a very positive impact on our margins. Now not every quarter feels like this one. You with me on the repair side. It does -- it is kind of hit or miss. But no, I was very happy with that. And then also, don't forget, we mentioned specialty products. The defense business we have there, we've banked, gosh, 3 years' worth of firm backlog there, and those guys are working super hard and we're expanding that business, and that is good business for us. And so I think those 2 factors, coupled with the very strong parts business that we've seen all year is really what's driving this margin.
Eric A. Mendelson: And Gautam, I should also add that while Carlos is absolutely right on the -- our independent proprietary repair business does have very strong margins. I should also add that we are doing exceptionally well on OEM aligned, OEM licensed repairs as well. And those continue to be of great value to our customers as well as the HEICO as well as to our OEM partners. So HEICO is really agnostic when it comes to what product we want to sell. I mean we want to be out there. There are some customers who want an alternative product. And we're obviously the largest in that space and we'll deliver it to them. But there are other customers who want an OEM product, and we are absolutely there and aligned to develop that OEM product, whether it's through our repair business, even our PMA business as OEM licensed product. Our distribution is all OEMs, all OEM. So we're really very strong across the board, and it's whatever our customers want, and it's not so much us pushing one thing or the other. It's responding to their needs and requests.
Gautam J. Khanna: That makes sense. I'm curious on the Wencor integration or maybe said differently, cross-selling opportunity, how far along you are there? And the basis of my original question was on the PMA, just aftermarket parts side, given the OEM equivalent products seem to be getting a lot of pricing each year, I would think we would start to see the base level of the PMA aftermarket sales, just the profitability continuing to rise just because you get a discount off of the OEM list price, which keeps going up at a rate well above inflation. Are you seeing -- maybe if you could speak to both of those? Are you seeing the base PMA aftermarket business, profit rates increase perhaps because of that lift as are linked to OEM prices? And secondly, where are you on that Wencor cross-sell opportunity? How far along are you in that journey?
Eric A. Mendelson: So let me start on the Wencor cross-sell opportunity. We've made good progress. And I'm glad you used the term cross-sell opportunity and not consolidation because we do operate these businesses separately. But there is an opportunity where a customer comes to us and they want a bigger product line of a particular area. And we're able to deliver it. And the Wencor combination has been incredibly successful. The DNA of Wencor matches HEICO beautifully. And we're able to really satisfy our customers. And you can see for after 2 years of this, how well we are doing and how happy our customers are. So that's a given. As far as the margins, we've always said that we're going -- we need to pass along our cost increases, and we've done that. We have not used increasing prices as a profit grab. We're continuing to make sure that we deliver value to our customers in all areas that we provide, whether it's independent or whether it's OEM aligned. So I think that's why we're capturing so much market share. And frankly, our -- I think the margins are getting better because our people just work exceptionally hard and they really go the extra mile and they figure out how to get the customers, what the customer needs while we make sure we take care of our suppliers, as I mentioned in the prior question about Wencor and their suppliers and how we're loyal to them. And I think it's just doing good business. And there's just a general efficiency increase. And as we put more volume across the platform, we're able to drive higher operating margins.
Carlos L. Macau: Do you mind if I interject? One thing that's helpful -- this is Carlos. One thing that's helpful in understanding some of what Eric just said, is that a lot of our large PMA relationships are done on long-term contracts. And we continue to commit to our customers anywhere from 3 to 5 years in these contracts. And more often than not, we will lock in pricing with either CPI inflator or flat pricing. And there's a lot of reasons strategically to do that. It's additive to our business. They have more parts every year, but it does guarantee pricing for them. And that's part of the reason why when you start thinking about pricing our PMA business, many times we are locked in. Now we are able to go back in inflationary times as we've shown over the last 5 years to get a little price to cover our costs even when we have these type of arrangements. But to your earlier question about the OEM prices rising at much faster rates even if those prices go up, maybe our standard price list mirrors that growth, but our true net revenue or net sale is based off contractual relationships, which more often than not in the PMA space is going to have a fixed price component. So it's not really impacted by that type of movement in the market.
Operator: I'll take our next question from David Straus with Barclays.
Joshua Tyler Korn: This is Josh Korn on for David. Lot's already been asked. I just wanted to ask how much of a headwind will intangible amortization be from Gables on the margins for ETG?
Carlos L. Macau: I mean, look, we're probably -- we're looking somewhere around $1 million a month in amortization right now. So you can do the math there and figure out what it is on the OI margin.
Joshua Tyler Korn: Okay. I'll just stick to one.
Eric A. Mendelson: And by the way, just to add, as you know, and I just want to make sure we reiterate the intangible amortization is really as far as we're concerned and accounting made up number. And it really doesn't impact the performance of the company. The performance of the company is outstanding. And really, the way that we look at these acquisitions is EBITA. And it's sort of a little frustrating because a lot of people in the industry look at acquisitions via EBITDA. And to us, depreciation is a real expense. This is something that we -- if you're going to be in business long term, you've got to make capital expenses, which typically equal or similar in the same range as depreciation. But it's really the EBITA number that's important. And especially when you look at EBITA, Gables is really outstanding, just simply outstanding company.
Operator: We'll take our next question from Michael Ciarmoli with Truist Securities.
Michael Frank Ciarmoli: I'll try and be quick here. Just Carlos, on the FSG margins, I think you called out SG&A efficiency as well. Are there any other actions you guys are taking to strip out costs or consolidate maybe it dovetails in with kind of the Wencor ongoing synergies?
Carlos L. Macau: No, we're not -- Michael, as you know, we run all these decentralized operations. So there's no real corporate program. I think what you wind up having with HEICO is you have a lot of very efficiently run subsidiaries that when you add revenue growth on top of that, they don't often need to expand their SG&A footprint. You know what I mean. They can handle the additional volumes or maybe it requires a few more salespeople. But the truth of the matter is there's not a big spend on overhead and SG&A type activities that aren't directly related to a sale that we typically incur. So that leverage that we're getting, it's been the story at HEICO ever since I've gotten here. We seem to always -- the revenues outpace our SG&A spend, and we get a little leverage off it. I expect that will continue.
Michael Frank Ciarmoli: Got it. And then, Eric, just real quick on the destocking. On your specialty products, are you seeing anything specifically related to Boeing to the MAX? We've heard that specifically on the destocking and potentially it could be a drag into next year. But anything on -- from that customer or that program?
Eric A. Mendelson: You talking from an OE basis or an aftermarket basis?
Michael Frank Ciarmoli: Sorry, on an OE new production basis?
Eric A. Mendelson: On an OE basis. No. I mean we've seen a little bit of it in certain areas. We've seen a little bit of it, but we're very confident that Boeing is going to be extraordinarily successful with the MAX. And we feel very well positioned there. And I think anybody who's buying into that program is going to do very well, the whole industry, all of the OEMs, yes.
Operator: We'll take our next question from Louis Raffetto with Wolfe Research.
Louis Harold Raffetto: Maybe just on M&A. As we think about future deals, are you focused on remaining sort of a designer, manufacturer and providing repair services? Or are you open to some of these more software-oriented product offerings?
Victor H. Mendelson: Yes. We're open to that for sure. And in fact, some of our businesses have software products and sales and offerings. It's not a huge part of what we do, but we would be eager to grow in that. And I suspect we will over time. Again, as I was talking about earlier, in avionics, when we started, we get a foothold and we try to grow affordably and sensibly, so I would imagine over time that will happen.
Louis Harold Raffetto: Great. Appreciate it. And then maybe just one more on Gables. I guess when you guys did Exxelia, you were pretty, I think, open about that it would be dilutive to margins, whether that was operating margins or EBITDA margins? Is there just no impact from Gables just given how the size of it or it's relatively within the overall segment view?
Carlos L. Macau: So Louis, this is Carlos. I mean we bought that thing in the last week of July, the last week of our quarter, so there wasn't any impact, obviously, to Q3. We'll -- we're still studying the business and we're still integrating and doing the things we need to do. So there'll be more on that topic in Q4. I think it was mentioned earlier, it's a very unique business with incredible demand and really nice positions on a lot of OEM platforms. So more to come on that. I don't think it will be dilutive to the margins. I do think that in the early years, we will have some heavy amortization, so that will dampen the OI margin a little bit on the business, but I don't think it should be as pronounced as the Exxelia deal was when we did that back in January of '23.
Operator: We'll take the next question from Kristine Liwag with Morgan Stanley.
Kristine T. Liwag: Guys, sorry about earlier. Can you hear me now?
Victor H. Mendelson: Perfectly.
Kristine T. Liwag: Okay. Great. So Eric, Victor, Carlos, I just want to touch on a supply chain question. You guys mentioned earlier that, look, the approach that you have for bobbing and weaving and not having a centralized supply chain has been very helpful in getting you the parts that you need in this period of supply chain disruption. But I guess, at this point, we're seeing demand for aerospace and defense continue to be strong, seems to be moving in the right direction and the supply chain stabilizing. And look, before -- compared to pre-COVID, you're a much bigger company now. So at some point, would you consider going through a more centralized supply chain? And if you go in that direction, how much could you potentially save? I mean, Carlos, you mentioned that your current approach does probably cost you more money, but as things stabilize and you move in that direction, how much in margin could you potentially capture?
Carlos L. Macau: I'll give you my two cents on that. I don't think culturally at this point that in the next 3 to 5 years, I don't see that as being a direction we had. Look, as the company matures and we get larger, maybe those things will come into play. Right now, I don't think it's necessary. And like I said, over the next 3 to 5 years, I don't think that strategy would work. Now there could be -- we could migrate to pockets of purchasing where we have businesses in similar end markets or similar product areas where they might co-source together on certain products. And by the way, we do some of that now, but it isn't housed in what I would call centralized purchasing and like that. So I think, Kristine, I think that's where we're at right now. To be honest with you, I haven't done a study to give you a precise number. Obviously, if you consolidated everything from a pure G&A spend, I think it would be cheaper. But I do think that the potential for lost customer revenue and for disrupting our happy customer base, it's probably not worth it for HEICO at this point in our life cycle.
Kristine T. Liwag: Yes. That makes sense. And if I could follow on. Eric, you mentioned earlier for PMA, you have some products that are maybe 50% or 70% discount to the OEM. And some of this are due to your long-standing price guarantees with customers. But I guess broadly speaking, I mean, because the OEMs have raised prices so much in the last 5 years, those are probably parts you could potentially increase pricing, but your customer is still getting a significant savings. How should we think about potential margin opportunity there? And are you seeing some of those contracts roll off in the near term to give you a little bit of tailwind on margin?
Eric A. Mendelson: Yes, that's a great question. And we do see contracts rolling off over time. When the percentage savings is that high, it's typically after somebody has been purchasing the part from us for a long time, which would, in many cases, imply that they are more mature products. So look, if we wanted to be -- if we wanted to maximize short-term margin, yes, we could absolutely increase prices substantially. But these are products that are at the longer end of the tail of their lifetimes. Our customers have been very loyal to us. And yes, around the fringes, we do have to obviously increase our price to cover our increased costs and some of those costs have been substantial and we will do that without a question of a doubt. But in terms of really resetting and doing a profit grab, that's really not the HEICO way. And so I would not model that kind of activity. Thank you. Well, we thank everyone for participating. I think that is the end of the questions. Samara, do we have anybody else with questions?
Operator: There are no additional questions.
Eric A. Mendelson: Okay. Well, thank you, everyone, for participating. We will have the fourth quarter results call in late December, and we look forward to your continued interest, and we thank you for your continued interest in HEICO. If anyone has any additional questions, of course, as always, feel free to reach out to Carlos, Victor or me, Eric. And we'd be happy to fill you in, but we wish you a pleasant end of the summer, and thank you for your support of HEICO over the years. And that concludes today's call.
Operator: Thank you. And this does conclude today's call. Thank you for your participation. You may now disconnect.